Operator: Good morning. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the CommScope First Quarter 2016 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Jennifer Crawford, Director of Investor Relations. Ma’am you may begin.
Jennifer Crawford: Thank you, Regina. Good morning and thank you for joining us today to discuss CommScope’s first quarter 2016 results. With me on the call are Eddie Edwards, CommScope’s President and CEO; Mark Olson, CommScope’s Executive Vice President and CFO; and Phil Armstrong, CommScope’s Senior Vice President of Corporate Finance. You can find the slides that accompany this review on our Investor Relations website. Before I cover a few housekeeping items, I would like to remind you that we will host our CommScope Investor Day at the NASDAQ market site in New York on Monday, May 16, 2016 beginning at 8:30 AM Eastern. Please see the Investor Relations events and presentations page of our website for registration details and additional information. Now to our housekeeping items. On slide two, you will find our cautionary language related to forward-looking statements. During this conference call, we will make forward-looking statements regarding our financial position, plans, and outlook that are based on information currently available to management, management’s belief, and a number of assumptions concerning future events. Forward-looking statements are not a guarantee of performance and are subject to a number of uncertainties and other factors, which could cause the actual results to differ materially from those currently expected. For a more detailed description of factors that could cause such a difference, please see our first quarter 10-Q filed earlier this morning and other SEC filings. And providing forward-looking statements, the company is not undertaking any duty or obligation to update these statements as a result of new information, future events or otherwise. Please note that all dollar figures and percentages are approximations. In addition to GAAP information, we will provide certain non-GAAP measures. We believe that presenting these non-GAAP or adjusted measures provides additional meaningful information to investors. Detailed reconciliations of GAAP to adjusted measures can be found in the appendix to our slide presentation. In addition we will discuss historical pro forma BNS results for first quarter of 2015 as though the BNS acquisition had been completed on January 1, 2015. This pro forma information has not been prepared in accordance with U.S., Generally Accepted Accounting Principles. Accordingly the pro forma financial information may not be indicative of the results that would have been realized. Slide three is our agenda for this morning. Mark will review the quarter results, highlight our two segments’ performance, discuss cash flow, liquidity, and capital structure and then provide our outlook for the second quarter and calendar year 2016. Finally, Eddie will make closing comments before we open the line for Q&A. To make sure everyone has the opportunity to ask a question on today’s call, we request you ask one question and return to the queue for any additional questions. I will now turn it over to Mark. Mark?
Mark A. Olson: Thanks, Jennifer and good morning all. Before I discuss our results I’d like to review our new management and reporting structure which was reorganized as part of the integration of the BNS acquisition. We’re now reporting our financial performance based on two operating segments CommScope Connectivity Solutions and CommScope Mobility Solutions. In our Connectivity Solutions segment we provide connectivity and network intelligence for indoor and outdoor network applications. Indoor network solutions are found in commercial buildings and in the network core, which includes data centers, central offices and table television head-ends. Our outdoor network solutions are found in access networks and include coaxial cabling and fiber optic connectivity solutions, which include a robust portfolio of fiber optic connectors and fiber management systems. Our Mobility segment provides merchant RF wireless network solutions as well as metro cell, DAS and small cell solutions. Our macro cell site solutions can be found in wireless tower sites and on roof tops. Our metro cell solutions can be found on street poles and on other urban structures. Our DAS and small cell solutions allow wireless operators to increase spectral efficiency and thereby extend and enhance cellular coverage and capacity in challenging network conditions such as commercial buildings, urban areas, stadiums and transportation systems. Now let’s turn to slide four for a summary of our first quarter results. We are pleased to report first quarter sales of $1.14 billion, which was consistent with our guidance and an increase of 39% year-over-year. Excluding BNS and the negative impact of foreign exchange rate changes legacy CommScope revenue was down 6% year-over-year. On a pro forma basis, revenue declined 9% year-over-year, driven primarily by lower Mobility segment sales. Foreign exchange rate changes negatively impacted revenue by 2% year-over-year. Orders were strong $1.34 billion during the first quarter, the order strength was driven by both segments each with a book-to-bill ratio of 1.17 times. Gross margin for the first quarter of 39% was an increase of approximately 350 basis points year-over-year. The increase was driven by the addition of higher margin BNS products, favorable changes in geographic and product mix and an ongoing focus on cost management. For the quarter we reported GAAP operating income of $91 million, excluding special items, non-GAAP adjusted operating income increased 35% year-over-year to $211 million, or 18% of sales. This increase was also driven by the addition of BNS, favorable mix and cost reductions. Excluding BNS and Airvana adjusted operating income was stable year-over-year, while adjusted operating income margin increased over 160 basis points. For the quarter the company reported net income of $13 million, which reflects intangible amortization, a goodwill impairment charge related to the change in operating segments, restructuring costs and other special items. Excluding these special items, non-GAAP adjusted net income increased to $94 million or $0.48 per diluted share up 14% year-over-year. I will now discuss our first quarter performance in both of our segment. Starting with the Connectivity Solution segment on slide five. Connectivity segment sales more than doubled year-over-year due primarily to the BNS acquisition. Connectivity sales increased 2% sequentially to $687 million, driven by strength in outdoor network fiber sales in North America. On a pro forma basis Connectivity segment sales declined 4% year-over-year. Approximately half of that decline was due to negative foreign exchange rate changes. The remainder of the decline was due to constrained spending in the indoor network solutions enterprise market. This decline was partially offset by higher outdoor network fiber sales in North America. In the quarter connectivity adjusted operating income more than doubled year-over-year and increased 15% sequentially to $135 million, or 20% of connectivity sales. The more than 200 basis point sequential increase and adjusted operating income margin was due primarily the cost synergy realization and favorable geographic and product mix. We expect strong demand for outdoor network fiber solutions in North America to continue throughout 2016, driven by new services and competition in the access market. We also expect improved performance in indoor networks, driven by growth in data centers. Let’s turn to slide six to discuss Mobility Solutions segment performance. Mobility segment sales declined 8% year-over-year to $457 million. The year-over-year decline was due to lower spending by wireless operators in all major geographic regions except the U.S., which benefited from an increase in spending by several domestic operators. Additionally, Mobility benefited from $13 million of incremental sales from the BNS acquisition. Foreign exchange rate changes had a negative impact of approximately 2% and legacy CommScope Mobility segment sales in the first quarter compared to the prior year period. While the Mobility segment adjusted operating income remained relatively stable sequentially, it declined 22% year-over-year to $77 million, or 17% of sales. The decline in adjusted operating income compared to the prior year was primarily due to lower sales volumes, higher cost associated with the solutions acquired with the BNS acquisition and continued significant R&D investment in Airvana small cell solutions. Excluding BNS and Airvana, legacy CommScope Mobility segment adjusted operating income margin increased approximately 100 basis points. Primarily due to favorable geographic and product mix as well as ongoing cost management efforts. We expect to continue to see year-over-year improvement in the North American market throughout 2016. We expect some improvement in the international markets in the second half of the year. But we remain cautious given global economic uncertainties. Overall, we expect to see mid-single digit growth in our Mobility Solutions segment in the second half of the year compared to the first half. In longer-term we expect demand for our mobility solutions to be positively affected by wireless coverage and capacity expansion in the emerging markets and the increase in demand for mobile broadband in developed markets. Next I’ll discuss cash flow and liquidity on slide seven. During the first quarter CommScope generated $118 million of cash from operations, invested $14 million in capital expenditures net of spending related to the BNS integration, and paid $16 million in integration and transaction costs, primarily related to the BNS acquisition. Adjusted free cash flow for the quarter was $120 million a significant increase from prior year. The improvement was driven by the BNS acquisition and lower cash incentive payments compared to last year. Adjusted free cash flow for the 12 months ended March of 2016 was $475 million, up 22% year-over-year. We ended the quarter with $1 billion of total liquidity comprised of $688 million of cash and cash equivalents and availability under our credit facility of $322 million. Turning to slide eight, I’ll discuss our capital structure. Left side of the chart shows our capital structure and net leverage ratio of 4.8 times at the end of March, down from 5 times at the end of last quarter. Right side of the slide shows major debt maturities for the next 10 years. As you can see we have limited mandatory repayments in the next few years. We are pleased to announce today that we will redeem $300 million of the 6% and 5% PIK Notes on June the 1st, this early and voluntary redemption will save us approximately $20 million in annual interest cost. We will continue to focus on this trench of debt for repayment throughout the balance of the year. And at the end of 2016, we expect our net leverage to be in the low four times range. Finally, I will cover our outlook on slide nine. Our guidance excludes amortization of purchased intangibles, restructuring cost, and other special items. For the second quarter we expect revenue of $1.275 billion to $1.325 billion, adjusted operating income of $270 million to $290 million, adjusted earnings of $0.67 to $0.72 per diluted share, up 42% year-over-year at the midpoint and an adjusted affected tax rate of 34% to 35%. And for the full year we now expect revenue of $4.950 million to $5.050 million, adjusted operating income of $990 million to $1.035 million, adjusted earnings per diluted share of $2.40 to $2.50, based on $196 million weighted average diluted shares, up 32% year-over-year at the midpoint. And adjusted effective tax rate of 34% to 35% and adjusted free cash flow of more than $425 million. The company’s updated full year guidance reflects expectations for mid-single digit growth in the second half of the year compared to the first half. And with that, I’ll turn the call over to Eddie to discuss his thoughts on the quarter before the operator opens the call for Q&A. Eddie?
Marvin S. Edwards, Jr.: Thank you, Mark. We are pleased to deliver strong first quarter results that exceeded our expectations while continuing to make excellent progress with our BNS integration plan. We are particularly proud of record first quarter gross margin which reflects the impact of higher gross margin BNS solutions, cost synergy realization and our ongoing efforts to create profitable growth. This stronger than expected start of the year give us confidence to increase our full year outlook. Despite facing continued global economic uncertainty and foreign exchange rate headwinds, which were both pressuring performance internationally strengthened Fiber-To-The-X solutions and Mobility Solutions in North America are expected to continue to drive solid results. Our confidence in the future and strong cash flow position us to announce early and voluntary redemption of the $300 million of our highest cost debt. Additionally, we are focused on integrating the BNS acquisition quickly and effectively and are very pleased with our progress. We recently made another step in the transition by establishing a new management reporting structure. This structure positions us to serve customers better and enhances our ability to create technologically advanced solutions. We achieved meaningful cost synergies during the quarter and continue to ramp cost synergy realization. We are well on track to achieve or exceed our stated plan. Finally, I would like to thank the global CommScope team for all their hard work and integration efforts. I am very proud of our employees, working tirelessly to deliver strong results like we saw in the first quarter, while continuing to focus on the integration efforts. Overall, we remain focused on positioning the company for long-term success by delivering profitable growth, while managing cost effectively; we are well positioned to help customer transition to the networks for the future with our robust fiber portfolio and technology leading wireless solutions. Now, we will be happy to answer your questions and Regina I’ll turn it back to you for the first question.
Operator: [Operator Instructions] Your first question will come from the line of Rod Hall with J.P. Morgan. Please go ahead.
Rod Hall: Good morning, guys. Thanks for the question. I guess I have a couple, the first thing is your results are surprisingly good considering we have seen CapEx coming under what we expected for Q1 for a couple of the big Tier-1s in the U.S. So I just wondered and I think I heard you guys comment that U.S. wireless was solid. So I just wanted to see if I could get you to give us a little more color on what you saw in the market in the first quarter and help us to juxtapose that CapEx picture we saw with these goods results from you guys. And then I have got a follow-up to that.
Marvin S. Edwards, Jr.: I think we saw growth. We deal with a very diverse geography of mobility customers in the U.S. we saw growth among our four carriers, it wasn’t just one, but is all in different places. So we are well positioned here in North America so that geographically help from a margin and a revenue standpoint. We saw softness in Europe. I think as other people probably have commented. But parts of the rest of the world South Asia continue to be strong. I think India we’re starting to see some revival there. So we’re happy because of that diversity that we have. We think it brings strength of what CommScope is from the standpoint of the mobility customer. And we look forward to that in the future.
Rod Hall : Okay, great. And then I just wanted to -- I guess I just wanted to follow-up with a question on front hall solutions. We’ve heard that there are a lot of field trails going on with regards to front hall now. And I just wondered Eddie maybe if you could comment on what you guys are seeing in respect of that and what CommScope’s participating in it might be? Just kind of how optimistic you are? And then also maybe a little comment on visibility to since you guys are raising the full year guidance. Could you just comment on what gives you the confidence there from a visibility point of view? Maybe just give us a little bit more detailed color on that.
Marvin S. Edwards, Jr.: I guess simplistically we have a book-to-bill greater than one and the highest that we've have for a long time. And we’re seeing order rates better than we’ve seen for many of the last few quarters. I think in the front hall part, we now have a fiber capability different than we’ve had than in the past. And we’re seeing that strength across many of our former broadband and wireless customers. So it’s something that the product portfolio that we have today is different than we had. And we have very good relationships with the people that are doing this, whether it would be the traditional carriers or the non-traditional. And so I think our position in the market FTTX market and the market to the towers is very good.
Rod Hall : Great, thank you very much.
Operator: Your next question comes from the line of Amir Rozwadowski with Barclays. Please go ahead.
Amir Rozwadowski: Thank you very much and good morning folks.
Marvin S. Edwards, Jr.: Good morning, Amir.
Amir Rozwadowski: I was wondering if we could actually dig till on the prior question on fiber. It seems as though some of your peers and carriers such as AT&T and Verizon as well as the hyper scale data solutions. And even the deployment of small cells all seem to be taking up sort of fiber demand here. I was wondering if you could discuss where you think we are in the fiber demand environment in terms of the legs left for demand, I mean you still at an early stage in terms of demand, but would love any color there. And then I’ve got a quick follow-up post that.
Marvin S. Edwards, Jr.: Well that being extremely specific across all the customer base that we have we’re seeing very strong demand and I think with lots of lags in many cases in the very early stages of their build-outs. What we see and the people that do the deployment for this is multi-year backlogs. So that gives us some expectation of continued growth in that market. We are cautious as we look to people becoming exuberant there. But based upon what we see we see a really no near-term end to this demand.
Amir Rozwadowski: That’s very helpful. And then if we think about your EPS guidance and if we look at it from a quarterly progression basis relative to what you put out for the second quarter, it seems that just a tempering of EPS power for the company. How should we think about this in the context that if I’m not mistaken synergies with BNS are expected to pick up in the back half of the year? Should we imply that you expect a tempering of demand in the back half of year or are you looking to be somewhat conservative at this juncture? Thanks very much.
Marvin S. Edwards, Jr.: Yeah thanks for the question, Amir. And we are being little bit cautious, we do expect that international demand will increase a bit as we move into the second half of the year. Although we expect to continue to see a strong performance in the U.S., we think that the mix of international-U.S. could move back to a little bit more of a traditional mix in the second half. And so we are benefitting in terms of earnings in both the first and expected second quarters. But we are -- we have a more balanced year here than what we had anticipated when we came into the year albeit still with second half growth. So at this point we’re being a little bit cautious, but we are enthused by the fact that our synergy realization has continued to be a nice positive for us and we see that continuing to ramp.
Amir Rozwadowski: Perfect, thanks very much for the incremental color.
Operator: Your next question comes from the line of Vijay Bhagavath with Deutsche Bank. Please go ahead.
Vijay Bhagavath: Hey, good morning. Hi, Eddie, Mark.
Mark A. Olson: Hi, Vijay, how are you?
Marvin S. Edwards, Jr.: Good morning, Vijay.
Vijay Bhagavath: Hi, good morning. I must say solid results here, this has been tough for the entire -- for many of your peer, so truly congratulations to your team. A question and a follow-up if I may, the question is around would it be fair to say that Q3 and Q4 of last year was trough in your wireless business and we could see sequential in the wireless segment primarily driven macro cell densification, is that the correct way of thinking about it? Thanks.
Mark A. Olson: Well from our perceptive the year started soft in both of our businesses, both segments, it did finish strong. I think, we see certainly better visibility here in North America than we saw last year and it’s -- that’s welcome to see. And so, whether that was a trough or not, that business is cyclical, volatile, lumpy, whichever word you want to use and we have been very clear about that over a long, long period of time. And we don’t expect any sort of linear growth there, but based upon what we see in book-to-bill that we have and demand that we see overall, not just here, but in other parts of the world, we are optimistic about where the business is going.
Marvin S. Edwards, Jr.: And I think, you’ll recall Vijay that we had a fairly strong first half of last year in Europe with wireless and that tapered a bit in the second half as did U.S. demand. And so only time will tell if that was a true multiyear trough, but we do see pickups here, certainly in the book-to-bill being a good reflection of that.
Vijay Bhagavath: That’s helpful. And then a quick follow-up is on small cells, we’ve been picking up anecdotal data on several of the tower operators telling us the small cells market is starting to pick up, are you seeing strength in your small cell business and is that primarily in building small cells are also in the outdoor small cell opportunities? Thanks.
Mark A. Olson: We have a strong position in the outdoor with the tower people you probably talk to and we have several deployments going on I think, you know that we invested in a small cell indoor small cell business in October, we’re excited about what that’s bringing us and I think we’ll see near-term revenue from that in their current products, as well as, expected commercialization of the one cell that is their new derivative by the end of the year or sometime in the fourth quarter. So, we think that is going to be a high growth area in unit volume and certainly in the densification and in building part of the market we think we’ll be well positioned.
Vijay Bhagavath: Excellent, yeah solid results once again. Thank you.
Mark A. Olson: Thanks, Vijay.
Marvin S. Edwards, Jr.: Thanks very much.
Operator: Your next question comes from the line of the Jess Lupert with Wells Fargo Securities. Please go ahead.
Jess Lupert: Hi, guys. Thanks for taking questions. I also have two, first for Eddie in the wireless business, I was hoping to understand where you are from a supplier perspective and to what extent there was and or still is some backed up demand from the constraints you noted last quarter, how you are feeling about ability to meet that? And then for Mark, I was hoping to dig into your gross margin and specifically understand some of the mix benefit you’re seeing to what extent the inventory markups from BNS are now behind you and is 39% the right level to be thinking about for gross margin going forward or are there some other puts and takes that maybe pushed that down back towards the mid-30s over time? Thanks.
Marvin S. Edwards, Jr.: Okay. So, we’ll call this business the mobility business from now on. So, we need to change our words a little bit, we’re seeing a good demand, certainly here in North America from the tower topside of the business. It picked up pace faster than the DAS side of the business. So we’re excited about that, as I said earlier Mark did as well the year started slower than anticipated, but has really picked up pace and we’ve added several thousand people in our workforce to take of demand from not just mobility, but also on the connectivity side. So we’re seeing an acceleration during the course of this quarter and I think anticipate that we’ll have a good year I think as Mark has indicated.
Jess Lupert: So Eddie no capacity constraints at this point in time?
Marvin S. Edwards, Jr.: As I said on the last call we did have capacity constraints not just in mobility, but also connectivity we made a lot of progress in both of those areas I think we’re meeting demand generally in the mobility side, we still have some work to do on the connectivity side, but we are making progress we’re spending capital necessary to meet the demand where required. And as I said earlier, we’re adding human resources meet the demand where it’s not a capital constraint. So that takes some time to get perfectly balanced, which I guess never happen generally but it does take time to get better balance than where we were at the start of the year, but I think we have progressed. All while doing a very sizable integration. So it’s a lot going on with our ops team as well as our back office people.
Mark A. Olson: And just on your gross margin question, first we had effectively no impact of purchase accounting in the first quarter that’s all behind us. But you did see us now on two consecutive quarters achieve 39 points of gross margin, and you’ll recall that the first and the fourth quarters are seasonally low quarters, higher in the second and third. We point to a few factors that drive that gross margin volume of course being at the top of the list geographic mix can also influence it. And then cost reductions or in our case some of the synergy realization is also reflected in there. So we’re very pleased with the gross margin performance where we’re at and we don’t expect to give any of that back.
Jennifer Crawford: Thank you, Jess.
Jess Lupert: Thanks, guys.
Operator: Your next question comes from the line of Mark Delaney with Goldman Sachs. Please go ahead.
Mark Delaney: Yes, good morning and thanks very much for taking the question. I had a follow-up question on the capacity constraints, in the 2014 timeframe when lead times extended for the broader supply chain that resulted in double ordering and inventory being built, I was just hoping you could help us understand when you talk to your customers are they worried that same dynamic maybe occurring this year and how are you thinking or trying to manage through some of those issues?
Mark A. Olson: Not at all, I think that we have a very close contact with some of the issues that we saw in ‘14 we understand where people are and their expectations for demand. We understand where they are and what we’ve shipped to-date and we have a very good balance as to where that is. The demand is broader based than it was in the first quarter of ‘14, so it’s a much easy a process to manage. So it’s not a concern whatsoever from the standpoint of capacity there in the tower top, we’ve made a lot of progress and I think we’re meeting the demand as required. And so we don’t think there’s any build up in the channel. And so I think it’s a whole different situation than what we saw in the first part of ‘14.
Mark Delaney: That’s very helpful. Thank you very much.
Operator: Your next question comes from the line of Simon Leopold with Raymond James. Please go ahead.
Simon Leopold : Great, thank you for taking my question. A couple of things, I wanted to just get a quick clarification on your release you gave us the operating income by segments, I think the 1Q ‘15 is excluding the BNS acquisition am I reading that correctly?
Mark A. Olson: That’s correct, Simon.
Simon Leopold : Are you going to be able to give us some pro formas to be able to look at what it would have looked like with BNS throughout the four quarters of 2015 so we can look at the trending and also help us map the old segment disclosures to the new segment disclosures, is it something you could give us?
Mark A. Olson: Well we will provide sales or we have in the release Simon, but we aren’t positioned to go back in the restate based on the new segment structure back into the prior years, but what I will point out to you though is that if you look at the performance in Q1 on a pro forma full year versus last year, we’ve generated about 19% adjusted operating income margin on a consolidated company basis pro forma in the first quarter of ‘15 and we’re about 18.5% in the first quarter ‘16. So what you did see is about third of the business, which was BNS which was a low-teens operating income margin business now transformed very quickly to what was the historical upper-teens low 20s adjust out margin for consolidated CommScope. So very rapid improvement in bringing up the BNS acquired business to the CommScope operating income margins.
Simon Leopold : Okay. And then one of your competitors namely Corning call that a production problem in its cabling business that I think they estimated roughly $100 million hit to their business. Wondering I guess two parts to this one is did you pick-up some of that opportunity and then what’s the affect going forward if you did?
Mark A. Olson: You know selectively, we share customers pretty well with those guys and selectively we may have been seen some benefit, our delivery times have moved out like other peoples. And so the magnitude of what we may have seen may be muted by those delivery schedules, I do think long-term is possibly beneficial to us, we would like to hold on to what we do to help people, but we will see it’s highly a competitive market there are few other people other than just and them. So it’s very strong competitive market out there.
Simon Leopold : Great. One last one if I might, it looks like your operating expenses particularly SG&A were quite a bit lower than we modeled and certainly helped out in the strong earnings this quarter. To what extent was that an acceleration of your ability to drive the cost synergies from the BNS acquisition? And how should we think about essentially the rest of the quarters in terms of the ability to get more cost savings out, where are you in terms of your original plan and the timeline? Thank you.
Mark A. Olson: Sure, thanks for your question, Simon. Yeah, you saw about $16 million sequential decline in SG&A, of course there is always some timing differences one quarter to the next, but a meaningful portion of that decline is directly attributed to synergy realization. And so we are only in the second full quarter after having consummated the acquisition. We have seen synergy realization continue to ramp this quarter, and we are very comfortable with our commitment to exceed -- meet or exceed our $75 million in your synergy realization.
Simon Leopold : Great, thank you for taking my questions.
Mark A. Olson: Thanks, Simon.
Operator: Your next question comes from the line of George Notter with Jefferies. Please go ahead.
George Notter: Hi, thank a lot. I guess I just want to extend on your last question, I think the larger synergy target is $175 million for the I guess third year post the close of the BNS deal, I guess I am just curious about how you feel on that synergy number? And can you kind of talk through sort of the puts and takes as you are finding the process of integrating BNS what’s surprising you positively or negative on that integration? Thanks.
Mark A. Olson: I think we are very comfortable with that number and so that’s where we stand to-date and so we have good comfort that we will achieve that over the same three year of time frame. We have gotten started quicker and faster pace than we originally have thought and a lot of work has gone into that with we -- by December 15th we had accomplished all of the sales synergies 250 plus people impacted across the country, I mean across the world. So whatever we’re seeing is good, I think the quality of the people that we now have is a collective CommScope is a better quality of people that we had as two separate companies. I think the energy that everybody has in making this a great company, a greater company is there and this is a high level of support from everyone. So, we now have a lot of people for a few boxes so we are able on an unbiased basis to choose the best of the best that we see and that’s what we’ve tried to do and we’ll continue to do over time. So I think we have found some nuggets that we hadn’t anticipate and so far we have been successful in not really finding anything that gave us great concern. We still have a lot of work to do, this is not an easy task doing a carve out. So it’s a lot of work to do, our employees are working tirelessly to do both their jobs as well as the integration jobs also. And so we admire the work that they’re doing and showing to make this company like we wanted to be.
George Notter : Thank you.
Operator: Your next question will come from the line of Paul Leone with Bank of America. Please go ahead.
Unidentified Analyst: Yeah hey this is Dan [indiscernible] on behalf of Paul. Thanks for taking my question. Just one on competitive dynamics. When you look out globally, you guys mentioned soft wireless demand. Could you also give any color around the competitive landscape and market share, whether you’re just gaining or defending share given there might be some more competitors especially on the macro cell side? Thanks.
Marvin S. Edwards, Jr.: I think we've held our position pretty well. We have and what we do in infrastructure the tower tops as well as the DAS side of the business. So I think we’ve held our position pretty well. It’s changing dynamics, people come and go, but we still have good positions with each of the carriers that we’ve dealt with for years. I think generally in most cases they are larger if not the largest provider to them and on a global basis, we’re still doing fuller networks in a lot of places around the world. So we see long-term positive trends continuing whether it’s 4G transitioning into 5G. I think 3G has now taken a minority position in the business that we have. So it’s we’re trending towards the higher technology businesses, which is good for CommScope. We do only one thing and that’s enable people to use bandwidth. And so that is what we see today is never ending. I think the densification part of it we will excel there because of the product and solutions that we have. So we look forward to how this market transitions overtime.
Unidentified Analyst: Great, thanks.
Operator: Your next question will come from the line of [indiscernible] with Credit Suisse. Please go ahead.
Unidentified Analyst: Thanks. I just want to clarify what you guys are seeing about the wireless cycle now. So basically after I guess a couple of years of disappointment are you now saying that you possibly see recovery and you really get back to normalized long-term revenue growth of about low single-digit that you’ve spoken about it before. Is that the best way to thinking about it or is there still some speed bumps in the horizon that you worry about? Thanks.
Marvin S. Edwards, Jr.: [indiscernible] what we have said is that this cycle is not materially different than what we’ve seen in others. The first part of I guess the decade of a build out is start slow and peaks and moderates. And so we’re in that moderating part as 5G starting to come along. We’re working with the carriers that are at the forefront of it and as that transitions into the late into this decades we will be a participant in that as they need new products to support that transition. So then we’ll see, we expect that we’ll see that same ebb and flow along the time. So if you -- we have shown and look at the charts it’s a cell two [ph] kind of build out in this business. And that’s what it’s been over the last four or five decades as wireless has evolved and we don’t really don’t anticipate anything much different than that.
Mark A. Olson: And then I would just add [indiscernible] that as you’ve seen the technologies evolve overtime and the solutions being deployed become more complex. Really despite whether revenue has been flat or up. You’ve seen us expand margins within the Mobility segment. And we’re pleased with that and we expect that that will continue as we move closure to 5G technologies.
Unidentified Analyst: Thank you.
Operator: Your next question will come from the line of Shawn Harrison with Longbow Research. Please go ahead.
Shawn Harrison: Hi, good morning everybody and congrats on the results. Wanted to dig into the -- I guess the insight network portion of the Connectivity business. So I thought it would have done better considering again extra head organic sales up about 5%. It doesn’t seem like you’ve seeded any market share of any significance in that market and then the upside from Corning. So maybe just kind detailing the diversions between the growth annexure you are seeing and kind of I guess the lack luster indoor growth you saw this quarter and how you project the year to improve?
Marvin S. Edwards, Jr.: Shawn I think what we saw was not different than what we’ve listen to other people to talk about we saw a slow start. I think we were pleased that what we saw from a copper side it was very strong, fiber side was slower, but we think the business is picking up now of what we see. And so we have no concerns as to what we see for the balance of the year. The U.S. was growing, the international part was soft and so I think that is consistent with what others have said. But we do think medium to long-term this market is going to be a very good market for us.
Shawn Harrison: Okay, helpful. And then just a follow-up I guess on the BNS DAS business. If my memory is correct, that was much more sizeable business than the $13 million of sales would imply today. So I think you just speak to is that business atrophying is there I am missing and maybe kind of is there a possibility to get that business restarted if it did atrophy?
Marvin S. Edwards, Jr.: You know one of the aspects I think that Mark mentioned that we do was going to be a target is product pruning and making sure that the products that we are selling have the margin expectations that drive technology needs, this would be one of the recipients of that work and we announced the closure of the primary location in San Jose, California very shortly after the acquisition. And so we are curtailing some of the products sold in that business that does impact greatly what their revenue stream would be, we think that some of that would be substituted with existing CommScope product. One of the great things of the wireless Mobility business that BNS had was the technology, they have some very strong patents there that we would plan to utilize and exercise. And so we look forward to that. So we think it strengthens our position, we do think that we will have a drop in revenue because of the actions that we are taking more positive or generated actions by CommScope rather than the market condition.
Mark A. Olson: But Shawn at best that was a breakeven operating margin business.
Shawn Harrison: And Mark is that now getting close to the mobility corporate average or your legacy DAS average post these actions?
Mark A. Olson: It is very quickly approximating those averages.
Shawn Harrison: Very good, thanks so much.
Operator: Your final question will come from the line of Steven Fox with Cross Research. Please go ahead.
Steven Fox: Yeah, good morning just one from me. Can you just talk about mix going forward so, you talked about we are helped in the most recent quarter I am just curious to the extent that you can map out along product pruning and expectations for demand from customers. Where is mix going to help you on the gross margin line going forward and may be also where could it hurt you? Thanks.
Mark A. Olson: Yeah, sure, Steven. Well we’ve said that we started the year a little bit stronger than what we had expected, so now we see a little bit more of a balanced year throughout 2016. We do expect that in the second half of the year we will begin to see some more signs of life in the international markets. And from an earnings standpoint geographically that would put a little pressure on us. But fundamentally we don’t see a change in the longer-term outlook here at all, we are pleased with how we started the year both on the mobility side as well as our connectivity side. So outside plant Fiber-To-The-X deployments in the U.S. have been very good. We see those outside the U.S. having some signs of life here as well in certain of the Asian markets. So as we move through the year we are a much more diversified company right now than what we were previously. So that exposure more fully to the international markets as well as to both the wireless and wire line sides of carriers budgets is something that I think you see reflected both in our performance here on the quarter and in our outlook here throughout the rest of 2016.
Steven Fox: Yeah so just I am sorry, I am a little confused by that. So the international business obviously if it picks up would be good for growth, but would be a negative on margin, but are you saying that fiber could outgrow sort of core sales growth can be positive for margins at the same time?
Mark A. Olson: Well our fiber margins in terms of the Connectivity Solutions business that is a good margin business and you’ll see that reflected for the first quarter under our new segment structure in the results that we published today. And so those are 20ish operating income margin segment that we have with the Connectivity Solutions. And so again because we’re able to sell now more fully a solution set than what we had previously with more of a coaxial cable offering, you now see coupled with synergy realization, you now see very nice margins in that Connectivity Solutions business.
Marvin S. Edwards, Jr.: I think Steve we’ve seen a huge benefit of the some of the relationships that CommScope had with certain segments, our certain customer positions that we had that enabled us to take BNS product in, we’re seeing the alternative on some of the connectivity relationships that existed that we now can take some of the legacy CommScope products into. So it’s been a win-win from the standpoint of customer coverage and the ability of us to take former competitive products into places that we didn’t have good positions either of this.
Steven Fox: Great I think I got it now. Thank you.
Marvin S. Edwards, Jr.: Yeah thanks Steven.
Operator: I would now turn the conference over to Eddie - for any final comments.
Marvin S. Edwards, Jr.: Yeah thanks, Regina. I’d like to thank you for taking the time to join us on our earnings call today. We appreciate your continued interest in CommScope. We’re extremely pleased with our start for the year, we’ve delivered record first quarter gross margins, robust free cash flow, stronger than expected bottom-line results and we exited the quarter with a healthy book-to-bill all while delivering or exceeding our cost synergy plans. We feel confident in our market position we expect to build on the strong market start for the year. We also look forward to seeing you at our Investor Day on May 16th those of you that come. And we thank you for your time.
Operator: Ladies and gentlemen this concludes today’s conference. Thank you all for joining and you may now disconnect.